Operator: Thank you for standing by. My name is Kate, and I will be your conference operator today. At this time, I would like to welcome everyone to the FIBRA Prologis 3Q 2025 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Alexandra Violante, Head of Investor Relations. Please go ahead.
Alexandra Violante: Thank you, Kate, and good morning, everyone. Welcome to our Third Quarter 2025 Earnings Conference Call. Before we begin our prepared remarks, please note that all information disclosed during this call is proprietary and all rights are reserved. This material is provided for informational purposes only is not a solicitation of an offer to buy or sell any securities. Forward-looking statements made during this call are based on information available as of today. Our actual results, performance, prospects or opportunities may differ materially from those expressed in or implied by the forward-looking statements. Additionally, during this call, we may refer to certain non-accounting financial measures. The company does not assume any obligations to update or revise any of these forward-looking statements in the future, whether as a result of new information, future events or otherwise, except as required by law. As is our practice, we have prepared supplementary materials that we may reference during the call as well. If you have not already done so, I will encourage you to visit our website at fibraprologis.com and download this material. On today's call, we will hear from Hector Ibarzábal, our CEO, who will discuss our strategy and market conditions; and from Jorge Girault, our CFO, who will review results and guidance. Also joining us today is Federico Cantú, our Head of Operations. With that, it is my pleasure to hand the call over to Hector.
Hector Ibarzabal: Thank you, Alexandra, and good morning, everyone. Today, I'd like to begin by addressing the geopolitical environment in which we are operating. Trade uncertainty has improved slightly as Europe and Japan have formalized new trade agreements with the U.S., while negotiations between China and the U.S. remain intermittent. On the other side, the U.S. has hardened its stance towards Mexico and Canada, implementing additional sector-specific tariffs outside of the USMCA framework. In this environment, most manufacturing customers remain cautious about expansions and new projects. We've observed some improvement in manufacturing leasing activity in certain markets and also signs of customers reconfiguring their supply chains to strengthen their presence in the U.S., seeking political goodwill. Overall, the outlook is constructive, though we continue to monitor developments closely. If a definitive resolution on tariffs doesn't emerge in the next 2 or 3 quarters, we believe uncertainty will become the new normal and customers will begin to move forward incorporating that uncertainty into their business risk assessments. Turning to our consumption-driven markets, Guadalajara and Mexico City continue to perform exceptionally well, fueled by both e-commerce growth and the modernization of supply chains by major retailers. These dynamic markets represent about 50% of our operating portfolio. We continue to see a robust pipeline of customers seeking large modern spaces to optimize operations, particularly in Mexico City, which accounts for nearly 40% of our activity. E-commerce continues to expand its market share with leading players making significant investments in new facilities. Thanks to this strong diversification, FIBRA Prologis delivered outstanding financial and operational results this quarter. Jorge will provide more details shortly. Talking about market dynamics, new leasing activity totaled 10 million square feet, up sharply from 5 million last quarter and roughly in line with the 2024 average of 11 million. We saw a rebound in manufacturing markets and a notable uptick in Mexico City. Net absorption reached 7.8 million square feet, impacted by move-outs in Tijuana, but still consistent with the average of the past 4 quarters. New supply declined 33% versus last quarter's to 10 million square feet, but this level was sufficient to increase vacancy by 40 basis points to 5.3%. Construction starts totaled 14 million square feet, reversing the downward trend of the previous 2 quarters and nearing a historical record. Market trends were relatively stable this quarter with consumption markets seeing low single-digit growth, while manufacturing markets were flat to a slightly down. Property values were also stable with marginal cap rate expansion in select submarkets, mainly Tijuana. While headwinds remain on the trade front, customers appear to be gradually making investment decisions in advance of the upcoming USMCA renegotiation. The path ahead may be bumpy, but we expect a constructive outcome. We continue to closely monitor customer sentiment and policy developments to ensure we maximize long-term value for all stakeholders. Turning to the Terrafina acquisition. On October 14, we launched the third tender offer for the remaining 10% at MXN 42.5 per certificate. We are optimistic about the results and expect to provide an update by mid-November when the tender offer closes. By reaching 95% ownership, our intention remains to delist Terrafina. At the same time, we are making solid progress elevating Terrafina's operating standards, bringing contracts to market rents, which has surpassed expectations and moving forward our disposition and asset recycling goals. We remain fully committed to our shareholders and to always placing their interest first. With that, I'll hand it over to Jorge.
Jorge Girault: Thank you, Hector, and good morning, everyone. We're pleased to share that our third quarter results were strong and on track. We continue to see clear benefits from the Terrafina acquisition, especially in bringing rents to market and strengthening our balance sheet. Now let's go to our financials. FFO was $0.056 per CBFI, up 28% from last year, reaching $90 million in nominal terms. AFFO totaled $78 million, up 50% year-over-year. Operationally, it was also a strong quarter. We leased a record 4.1 million square feet above expectations, reaching $9.2 million for the year, which represents 70% of the total 2025 expirations. Period end and average occupancy remains high at 98%. Tenant retention stood at 82%. Net effective rent change was 47%, consistent with our portfolio mark-to-market levels. Same-store NOI, both cash and GAAP, grew around 15%, showing the combined effect of rent increases and the neutral impact of peso movement. Let me spend a minute on the balance sheet. We've successfully refinanced short-term debt in both FIBRA Prologis and Terrafina. We are now developing a comprehensive debt financing strategy to enhance our access to the broader debt capital markets. While this process will take time, it will ultimately strengthen our balance sheet, making it more flexible, value-driven and better positioned to support future opportunities. Regarding impact and sustainability, ESG. Our MSCI rating improved from BB to BBB and Standard & Poor's Corporate Sustainability score also rose from 55 to 60, reinforcing our commitment to transparency and continuous improvement. I want to spend some time on Terrafina tender offer. As Hector mentioned, we launched a third tender offer for about 10% of Terrafina remaining certificates at MXN 42.50 per CBFI. We encourage investors to take part of this tender to avoid holding any illiquid privately held vehicle in the future. In compliance with tender offer process, we want to be addressing questions related to the Terrafina on this call. Please refer to the public information and feel free to reach out to the Acting [indiscernible] or Citibank's teams if you have questions about the process. Let me move to our 2025 taxable distribution. We expect taxable income boosted by peso appreciation and projected inflation to exceed our 2025 distribution guidance. If by year-end, FX stays at these levels, total taxable income to be distributed will be about twice our cash guidance. Therefore, we will be combining CBFIs and cash in line with local FIBRA tax rules to comply with additional requirements. This approach will protect our balance sheet by avoiding new debt through pro rata certificate issuance. We will be making a portion of this additional distribution before year-end and the remainder once final FX and inflation figures are confirmed. Going to guidance. Due to our internal process, we are adjusting our disposition guidance to be between $0 and $50 million. We are also revising our acquisition guidance to be between $50 million and $100 million. And we're revising our CapEx as a percentage of NOI to be between 9% and 12%, given timing and our -- and new budgeting on maintenance CapEx. All other guidance remains unchanged. You can find the details on Page 8 of our supplemental financial information. We believe that the key driver for continued operational excellence will be energy accessibility and customer service, which remain core to our DNA. Before we wrap up, I want to recognize our teams on the ground for their outstanding execution this quarter. We remain laser-focused on our long-term strategy and ready to adapt when needed, always guided by discipline and agility. With that, let me turn it to Q&A. Thank you.
Operator: [Operator Instructions] Your first question comes from the line of Rodolfo Ramos with Bradesco BBI.
Rodolfo Ramos: My question is, it's a bit on your guidance. I mean, when you look at fundamentals, they continue to seem quite solid. We've seen the light at the end of the tunnel, stable occupancy. We're seeing still very high rent rollovers. So can you give us a little bit of more detail on your lower outlook for asset acquisitions and dispositions? I mean, is this is a more of a timing issue that we're close to the year-end and things haven't closed through or sellers, buyers are just a little bit more reluctant to transact in this current environment. So any detail on that and perhaps how you see it going into 2026 would be helpful?
Hector Ibarzabal: Thank you for your question, Rodolfo. Indeed, as I mentioned in my opening remarks, we have been very active on our asset recycling strategy. And as of today, I am very pleased with the results that we are receiving so far. As you mentioned, what is happening and the main reason behind this review on guidance has to do with timing. We found that the potential buyers that are active for the first portfolio are players that are active in the market as of today. So we needed to design a clean room in order to be able to share information according to compliance. This on top of having a new antitrust commission is making us feel more comfortable to move for the first quarter of next year, the disposition of the first portfolio. Regarding acquisitions, that's something that we monitor permanently, and we feel that we are not obliged necessarily to do them. It's not that there is no opportunities, but it's important to do the right opportunities, and we will never be forced to do acquisitions just because we guide on them. That doesn't mean that we will be showing on 2026 important opportunities, but we are not seeing them happening on 2025.
Operator: Your next question comes from the line of Gordon Lee with BTG.
Gordon Lee: I have a quick question on TERRA''s not related to the tender. But you mentioned that Hector in your remarks that you have continued to progress on improving TERRA's operating standards and bringing them up closer to Prologis' own standards, both operationally and financially. And I was wondering if you sort of had to benchmark to 100, right, 100 is as much as you can improve. Where are you in that process? And is the remaining portion at all impacted by having 2 listed entities? Is it easier if you're able to only have one vehicle?
Hector Ibarzabal: Thank you, Gordon. I think that all the standards that Prologis has with its portfolio are already 95% implemented into the Terrafina assets. We have now fully dedicated teams. And I think that we have importantly enhanced the service that is provided to customers. We as well have been invested a fair amount of money on bringing the operational standards of the building to what Prologis uses as a market practice. Having said this, we have been able to importantly increase the rent on the renewals, above 40%, I would say, in the rollover that we have been experiencing. It's going to take at least 3 more years to bring 100% of the Terrafina portfolio up to market standards. But I think what I would like to highlight is that we are showing execution in these buildings that we are already operating, I would say, it's going to be 1 year that we have been having full control among them. Regarding the listing of Terrafina, I think that -- and as I mentioned in my opening remarks, by mid-November, once that the third tender process is completed, we will be able, hopefully, to provide positive news about it. And Jorge mentioned in his opening remarks, our objective is still to get the listing Terrafina hopefully early next year.
Operator: Your next question comes from the line of Piero Trotta with Citibank.
Piero Trotta: I have a question on CapEx. I would like to know if you could tell us if there is a relevant difference in CapEx requirements between Terrafina's portfolio and Prologis. I ask that because Terrafina's portfolio is on average older than Prologis assets. So it would be great if you could tell us on that.
Federico Cantú: Piero, thank you for your question. This is Federico. So we've been -- as we guided, we're spending a little bit less as a percentage of NOI and CapEx, driven by careful analysis and rationalization in our CapEx investments, and we feel comfortable with these levels. We are assessing, of course, we constantly assess all our buildings and Terrafina perhaps need a little bit more CapEx investment, but we're bringing them up, as Hector mentioned, in line to our standards, and we feel comfortable with those levels. I would like to highlight that we maintain laser focus in providing the highest standards of quality in all our buildings.
Hector Ibarzabal: We anticipated that the Terrafina assets had some lag on CapEx, and that was part of the underwriting when we were targeting Terrafina acquisitions. So nothing of what has been happening has been a surprise to us.
Operator: Your next question comes from the line of [ Elena Ruiz with Actinver. ]
Unknown Analyst: My first question is on -- you mentioned in your press release at the end of quarter, FIBRA Prologis and Prologis U.S. had 2.9 million square feet under development or pre-stabilization. Could you give us like a regional breakdown of how that GLA is distributed? And the second one is, could you give a little more color on the almost 15% same-store NOI growth, which percent of it came from the appreciation of the Mexican peso and which percent came from rent increases?
Hector Ibarzabal: Thank you, [ Elena, ] for your question. Following market conditions, Prologis as a [ FIBRA ] sponsor and the one responsible of doing 100% of our development has an important backlog in all of the markets in which we participate. As of today, we decided until further visibility about the new reconfiguration of the trade agreements is reached that development needs to be more cautious. This is not the case in Mexico City. In Mexico City is the market in which we are more active because we are trying to fulfill the needs of the major players that are expanding importantly in the most important consumption market, which is Mexico City as a big apple of Mexico. So we are active. We are entertaining as well some build-to-suit opportunities. And I can say that once the definitions are reached or once that we have a better visibility of how the market is going to be recuperating, we have the ability to restart development in a few weeks.
Jorge Girault: [ Elena, ] this is Jorge. You made a question on the 15% cash and GAAP NOI. The main drivers for the rent change -- sorry, the NOI increase have to do with rent change on rollovers and annual bumps. That's about 2/3 of the increase. The other 1/3 has to do with a pickup in occupancy versus the same period. FX, to your question, was muted. We are about the same levels than this time last year. So FX did not have an impact this time or it was very small. Thank you, [ Elena ].
Operator: Your next question comes from the line of Francisco Chávez with BBVA.
Francisco Chávez Martínez: We have seen some volatility in the EBITDA margin from the high 70s in the first half of the year to the low 70s in 3Q. Where do you see EBITDA margin stabilizing?
Jorge Girault: Francisco, this is Jorge. The short answer to your question is it's going to be around 77%. And yes, we have seen volatility given the acquisition of Terrafina and everything that has to be done. But in the long term, you should be -- you should see 77% and that's around the number if you take the 9 months for the year. That's about the EBITDA margin for the 9 months. So there you are. Thank you.
Operator: Your next question comes from the line of Jorel Guilloty with Goldman Sachs.
Wilfredo Jorel Guilloty: I had a question on the leasing spreads, the cash leasing spread. So it's been going up for a bit and hit about almost 40% in 2Q '25, but we saw that it was 26% now in 2Q '25. And we also noticed that the amount of leases that were commenced it is a materially bigger number that we've seen in the past few quarters. So I just want to get a sense about this decline in the sense of is this -- do you see this as a one-off that's just pertaining to these leases that are being signed? And how should we think about these cash leasing spreads going forward? Do you think we go back to the 40s we've been seeing? Or is it between 25% and 40%. So I wanted to get any color you can get on that one.
Jorge Girault: Jorel, thank you for your question. This is Jorge. I'll try to simplify your question and give you a straight answer. Leasing spreads depend on 2 things. One is whenever we lease -- we have -- the rent is signed vis-a-vis when it's going to expire. And the other part is where the market is, obviously. So if we lease something 4 years ago, which expires today, the leasing spread on that specific rent is going to be somewhere in the 50%, 60%. But if it's a 1-year lease, meaning that we leased it a year ago and today, maybe it's a 10% or 5% leasing spread. So I mean it depends on the bucket of leases that are expiring per quarter and their venue, you may. Also, it depends on -- remember that we do it on a net effective rent basis. So we put everything into the blender, not only the cash rent, but also the concessions that are given or the increases if they're fixed annual increases if they're fixed into the formula. So it has a lot of bits and pieces, if you may. But I would say that the main one is when these leases are done or originally signed vis-a-vis today. So hopefully, this gives you a little bit more color.
Operator: Your next question comes from the line of David Soto with Scotiabank.
David Soto Soto: Congrats on the results. I just have one question. Could you please provide some detail if you have seen potential consolidation of 3PLs in Mexico City? Or would you consider that this could be a trend in Mexico City? And as well, have you seen any move-outs due to consolidation of 3PLs in other regions?
Hector Ibarzabal: Thank you for your question, David. The 3PLs had worked in Mexico City is cyclical. You see top executives leaving some of the important franchises and then they start their own business. They pay a lot of attention to the customer, they grow the business and then they are bought by someone else. What is happening nowadays is not different from what has been happening in the past. The 3PL that we have seen very active on buying some competitors is DSV. DSV is one of the most important customers that we have in Mexico. And we have very good communication with our customers. So sometimes we get to know this even before they do the transaction because they need to do some planning about consolidation, about leaving some of the spaces. And the fact that we have the largest portfolio help them to achieve their objectives. So this will keep on happening is nothing new what we're seeing today.
Operator: Your next question comes from the line of Felipe Barragan with JPMorgan.
Felipe Barragan Sanchez: So I have a question on sort of what you guys have been seeing this month of October. There have been some companies seeing some activity pick up this month. So I just wanted to do a channel check with you guys. That's it.
Hector Ibarzabal: Could you repeat your question? We had some trouble getting to the main point.
Felipe Barragan Sanchez: Yes, of course. So we've had some peers that have been commenting that throughout October, there's been an uptick in activity. So I just wanted to check with you guys if you guys have also seen an uptick in activity throughout October after the quarter end?
Federico Cantú: Yes, Felipe, thank you. This is Federico. Yes, we have seen over the last few weeks, somewhat of an uptick in activity. Our pipeline is healthy across all our markets, including the border markets, of course. And I just wanted to mention, as companies navigate this uncertainty, which has prevailed over the last few months, some companies have had to decide on current conditions and their best guess as to what's going to happen going forward. As we all know, we're getting closer to the renegotiation of USMCA. I think there is a somewhat of a prevailing mindset that we're going to have a good outcome in the negotiation, hopefully. And so that is, I think, factoring into some decisions. Let's not forget that markets continue to demand from our customers. So they're having to make decisions. So we feel very good about both renewal and new leasing going forward and we're encouraged to see this recent activity.
Operator: Your next question comes from the line of Alan Macias with Bank of America.
Alan Macias: Just if you can provide an update on Prologis' development pipeline, the GLA of the development and in what markets and the leasing ramp-up that you have been seeing there?
Hector Ibarzabal: Thank you, Alan. I would say that 95% of our activity is devoted in the Mexico City market on the development front. Particularly in Toluca, we have found interesting opportunities that are just in line with what the main players of e-commerce are requesting. We do see the expansion plans that they have, and we are positive that this activity will remain on 2026 and on.
Operator: Your next question comes from the line of [indiscernible].
Unknown Analyst: I also have a quick question regarding land reserves, specifically with Terrafina. Do you consider part of disposal assets? Or do you consider looking at part of the development pipeline that you might...
Hector Ibarzabal: Thank you for your question [indiscernible]. I think the land that Terrafina has in its [indiscernible], which is not significant compared to the backlog that Prologis has, is following exactly the same result that the assets. The land that is in our markets is being kept for future opportunities and the land that is outside of our markets is in the process of disposition.
Operator: [Operator Instructions] I will now turn the call back to Hector Ibarzábal, CEO, for closing remarks.
Hector Ibarzabal: I want to thank you all for your time devoted this morning to FIBRA Prologis. We know well how valuable your time and attention is. I feel very comfortable on our progress looking to year-end, and I am very excited about the opportunities that I see in front of us. According to our practice, we will be reachable to all of you any time. Talk to you soon.
Operator: Ladies and gentlemen, that concludes today's call. You may now disconnect. Thank you, and have a great day.